Operator: Good afternoon. Welcome to OceanaGold 2013 Third Quarter Results Conference Call for October 30, 2013. Your host for today’s call is Ms. Nova Young, Senior Financial Analyst. As a remainder, this call is being recorded. Please go ahead Ms. Young.
Nova Young: Thank you, and good morning and welcome to OceanaGold’s third quarter 2013 results conference call. Joining us on the call today in Melbourne are Mick Wilkes, Managing Director and CEO; Mark Chamberlain, Chief Financial Officer; Darren Klinck, Head of Business Development; and Edward Sagun [ph], Corporate Controller. And in Toronto, we have and in Toronto we have Sam Pazuki, Investor Relations Manager. The format will consist of a company presentation discussing the third quarter results, followed by a question-and-answer session. I note that this presentation contains forward-looking statements, which by their very nature are subject to some degree of uncertainties. Additionally, all references in the presentation are in U.S. dollars and adhere to an IFRS. I’d like to now turn it over to Mike Wilkes to begin the main portion of the presentation.
Mick Wilkes: Thank you, Nova, and welcome everybody to our third quarter report. I’m very pleased to report $43.7 million profit in the third quarter for this year, on the back of $156.6 million of revenues, so a very strong quarter. And this was as a result of strong production of just under 75,000 ounces of gold and 6,150 tonnes of copper, bringing our year-to-date figure for gold production to 210,000 ounces and copper production to 15,500 tonnes of copper. As a result, very low cash costs in the third quarter of $271 per ounce and $532 per ounce year-to-date on a by-product credit basis. A very strong copper production in the third quarter and continuing from Didipio has meant we have increased our copper production guidance for this year. And accordingly, our cash costs has also decreased in our guidance. So moving to Slide #5, our guidance for 2014 has been upgraded. Gold production has stayed the same, 50,000 to 70,000 ounces of gold out of Didipio and 235,000 to 255,000 tonnes of gold out of New Zealand. Copper production has been increased for guidance to 18,000 to 20,000 tonnes, up from 15,000 to 18,000 tonnes for the year. And our cash costs across the business has been reduced to $550 to $650 per ounce, down from $650 to $800 per ounce on a by-product credit basis and our all-in sustaining costs has been reduced to $900 to $1,000 an ounce, down from $930 to $1,080. Moving on to the results summary on Page #6. Gold production out of Didipio was 18,000 ounces, in line with plan, giving us 6,150 tonnes of copper as I mentioned. Gold sales, over 20,000 ounces out of Didipio, and 8,200 tonnes of copper out of Didipio because of the timing of the concentrate sales. Gold production from the Macraes was fairly robust, 42,000 ounces and Reefton was steady at 14,000 ounces, giving us the total for New Zealand at around 56,500 ounces for the quarter, and for the company-wide certainly just under 75,000 ounces. So a strong quarter for the business, in particular, very strong copper production coming out of Didipio. Cash cost at Didipio is more than copper mined and the gold mined at the moment clearly. Negative cash costs of $1,336 negative. On a gold equivalent basis, to put it in some perspective fully, Didipio produced just 66,000 ounces of gold equivalent and a gold equivalent cash cost of $494 per ounce. So very strong results in either way you look at it. Cash costs in New Zealand were lower than previous quarter, $882 per ounce, and that’s despite the slightly lower gold production and the higher exchange rate, so the cost reductions that we had put in place and announced a few months ago are starting to show through with the operations in New Zealand, giving us across the business a very healthy cash cost to $271 per ounce, while on a gold equivalent basis, we produced a 121,000 ounces of gold equivalent at a cash cost of $670 per ounce. This compared to – sorry, giving us the year-to-date on a gold equivalent basis of 278,000 ounces at a gold equivalent cash cost of $740 per ounce. So a very strong results for the quarter. Moving on to Slide #7, the initial pro forma cash cost sold. Gold price received $1,339 per ounce, up from the previous quarter $1,270. Copper price continues to remain fairly robust over $7,000 a tonne. Cash cost as reported previously at Didipio has reduced from $586 to $1,336 negative. We’ve added in our capital dollars margin cost. There has been an increase in the inventory build-up at Didipio in particular, the increase in ore stocks. And you’ll see from the physicals that we’ve mined quite a bit of ore ready for processing. In New Zealand, gold price received $1,331. Cash costs $882. Some capitalized mining costs and we also had an inventory buildup in New Zealand, where it would allow us strict ratio in mining more ore than we’re trading giving us a pro forma cash cost of around $15 breakeven, that’s the cost to business in New Zealand, but across the whole company, pro forma net cash cost of $644 per ounce, which is still strong despite the lower gold price environment, so pleasing results. Another thing I’d like to highlight leading on Page 8 is the announcement of our acquisition of the Pacific Rim Company, North American listed company that has its primary asset in El Salvador. We have owned 20% of this company and we acquired the remaining 80% of this company, subject to shareholder approval later this month. The offer value of $10.2 million, represents very competitive and very low cost of acquisition of $7 per ounce equivalent, and this is because this is a very high-grade, high-quality epithermal low sulphidation deposits in El Salvador of some 1.7 million ounces gold equivalent at over 10 grams per tonne, with very good potential to increase to many millions of ounces more than that. So we’re very pleased to have done this transaction at such a very low cost, and we look forward to progressing it through the further exploration stages. Moving on to the Philippines on Page #10. Just some highlights there. We are continuing to maintain a very strong safety performance at Didipio. It’s been almost two years since we had a loss time injury at Didipio, so 7.3 million man hours have been worked without a loss time injury. So very proud of the team at Didipio and the work they are doing to maintain high safety standards. Production is increasing. Gold production is increasing with higher grades of gold and better recoveries. Copper production is consistent with – it has already met our guidance level and therefore we have increased our copper forecast for the year. We have implementing or are implementing the transition to tracking the concentrate to overcome a backlog in concentrate at the beginning of the year in the first and second quarters, and that’s been successful and now that logistic system is working very well. We’re also on schedule with our ramp-up towards 3.5 million tonnes by the end of next year, with very solid throughput rates in the mill and the main focus at the moment is maintaining a steady milling rate of around 3 million tonnes per annum and focusing on recovery, which you’ll see has been successful in the results. So Slide 11. The concentrate produced per month. You can see a steady – a fast commissioning and then a steady rise since then. We’re looking at around 7,500 to 8,000 tonnes of concentrate per month. The grade of the concentrate in gold is increasing as expected. It’s now the average grade produced, or sold I should say, during the third quarter was 22 grams per tonne, up from some 16 grams per tonne in the previous quarter. Copper is steady at around 26% copper and concentrate. And a nice little present forward you see presence of silver in our concentrate, which has added a few million dollars to our revenue line and that was previously not accounted for. So a very strong production and sales out of Didipio. The physicals for Didipio. I mentioned gold and copper production, ore mines of 3.6 million tonnes and we are in very big part of the ore body, lots of ore coming out of the pit, life mine of 3.8 million tonnes. We only milled 0.7 million tonnes of that 2.6 million tonnes. So the [indiscernible] already to inventory. Ore grade mines was consistent with mine trend to reconciliation again well. And if you look at the milled grades, gold feed grade is increasing as expected to 0.97 grams per tonne and the copper feed grade stayed in the 9% range throughout the quarter, reflecting the very strong copper production that’s been achieved. And as you can see in the last lines, the recovery of gold has increased to 86% on average for the quarter and continues to increase as we perfect the prices in circuit and the copper recovery is very strong at average 94% for the quarter. We continue optimization and fine-tuning of the plants. It’s going extremely well. Moving on to New Zealand on Page #14. At the price we’ve commenced mining the higher grade ore in east wall within the Macraes open pit, and we started to see higher grades coming through in the last month of the third quarter, and that is going to continue in the fourth quarter, which relates to higher gold production there in the price. Similarly we’ve got higher grades coming out of the pit at Reefton in late in the quarter and also those grades will continue in the fourth quarter. So expecting a strongly production quarter in the fourth quarter out of New Zealand. Importantly, the cost reductions that we implemented a few months back has lower cash costs, which is despite the higher exchange rates that we’ve been experienced in New Zealand over the past three months. Production in New Zealand is tracking to plan. We continue to review our mine plans in New Zealand in the lower gold price environment and make sure that those operations remain cash positive. In the project development, we have continued our study of the Blackwater project and we are expediting the work on the Round Hill study, which is the gold/tungsten project [indiscernible]. On Page #15, it’s difficult for the price for the 2,000 ounces of gold production from the open pit up slightly from the previous quarter, with steady year-to-date 130,000 ounces compared to 110,000 ounces last year. Ore mine, strong 1.6 million tonnes, and ore milled 1.49 million tonnes. Grade mines was fairly good 1.19, and milled grade of 1.1. So recovery was more or less in line with normal rates. So we are expecting the higher grades experienced in the last part of the quarter to continue and they are on track this quarter. Moving on to Page 16 and the recent physicals. Unfortunately, we did have three loss time injuries that raised a very unfortunate [ph] that leads to focus of company to improve that safety performance. Gold production is steady at 14,500 ounces, which is similar to the previous quarter on the back of similar mine grades and similar, but slightly higher milled grade and a lower throughput in the mill. We did experienced some issues with the gearbox on the mill at Reefton, which caused that lower throughput, but we do have plenty of capacity in that mill will catch-up those tonnes and ounces. So therefore we are expecting a strong fourth quarter on the back of higher grades and increased throughput at Reefton. The Round Hill project in Page #17 is somewhat new project to the business. The prior ore body was along the line of tungsten deposit and shear life, and we are assessing the organic potential of this opportunity by doing regional evaluation of the tungsten than produced in the current pit and also underground, and finding very high grades of tungsten in both of those operations. The tungsten could be a very good by-product providing higher high margin for future production, and it does require some changes to the prices in the circuit form the price and also possibly some new plans. So we are looking at a study and a feasibility study that will be completed in 2014, that could extend the mine life by up to 10 to 12 years, but at a lower production rate and at a lower cash costs. So quite an exciting development for the company, and we look forward to releasing results on that in the coming quarters. Moving on to sustainability on Page #19, the relationship with the local community continues to strengthen. We think the work they’ve done with the features in the health workers and assisting them with their salaries. It’s been very positive. We participated with community support with region typhoons which constantly played the Philippines and that has been greatly received. And also infrastructure projects with local communities is well advanced with roads and schools being built in the area. Now, I’ll hand over to Mark Chamberlain, our CFO, to give you a summary of our financial results. Thanks Mark.
Mark Chamberlain: Thanks, Mick. Looking at our financial position at the end of the third quarter on Slide 21, we have cash of $15 million, an undrawn revolving credit facility standing at $30 million and a term facility available to us for $112 million, but the facility is dedicated to repay our convertible notes that mature in this quarter and we will fully cover both notes. So our cash was slightly lower than the first quarter compared to the second. Now this basically reflects the maturing of the Didipio operations, and there is a large increase in receivables in the inventories, and I’ll go into more detail later on that. We’re expecting liquidity to dramatically increase in the fourth quarter through higher production, and we’ll be targeting to use that liquidity to stop repaying the levels of debt we have. Looking at the debt, we have a term facility in place of $60 million, again with the same group of leading international banks that will be providing the next slot of that facility to pay the convertible notes. We have drawn down $20 million of our revolving credit facility and the convertible notes of $112 million like a total of $192 million in debt, with the target being the rates that we pay that bring that debt levels down over the next 12 months. Over the page looking at the group results, delighted to announce these terrific results for us. Revenue was sitting at $156 million, up some 19%. Pleasingly our operating costs was sitting, reduced to $18.3 million, some 9% down from the second quarter. EBITDA $76 million compared to $42 million. Depreciation and amortization, there has been a drop there from around $40 million to $25 million. That’s reflected partly through the impact of the impairment charge taken in the last quarter and also capitalized depreciation, which we’re seeing in the buildup of the ore stocks, particularly at Didipio. Finance costs around the sign, leading earnings of some $44 million, $45 million compared to a loss of $4 million. Looking at net profit, $43.7 million, compared to the previous quarter of a loss of $70.5 million, which include the impairment charge of $85 million against which was a tax benefit. Moving on to the next slide, cash flows. The opening cash balance was around $18 million. Operating cash inflows of $39 million. Capital expenditure of $35 million, we have explained those down on the bottom of the page there with pre-strip of around $16 million. Timings then development both fit in price and Didipio totaling is $7.6 million. And then the project works at Didipio, in particular water treatment, transport trucks with the consequent benefit to us, so the reduction in the logistics costs of around $6 million. There was $30 million outflow on financing that relates to our operating equipment leases and around a $4 million FX effect, which led to a slight decrease in the cash and the cash balance around $15 million. Knowing that figure of those figures, we have an increase in receivables for Didipio of around $19 million, and that’s reflective of the buildup of sales there. It represents product that we have either on the way to the port or sitting at the port writing advance payment and all the way writing – well, we’ve actually build for the advance payment but haven’t received the debt, and also reflects copper concentrate that contracts where the loss 10% is settled after all exercise [ph] are finalized and we have a number of those outstanding. Around $15 million odd is due to the build out of ore stocks. Also in the Philippines, we paid that, but that will be refunded and that’s $5 billion we’ve represented that. So that leaves us with the ground of balance of around $15 million odd cash and that will build up over this last quarter. Handing back to Mick to take us through the outlook for us.
Mick Wilkes: Thanks Mark. Well, look ladies and gentlemen, very strong third quarter will be followed by another strong quarter in the fourth quarter on the back of higher grades across all three operations. This will lead to an increase in our free cash flow generation, which we will use to strengthen our balance sheet by paying down debt. Continued focus on the profitability of the operations in this low gold price environment, in particular, our focus on the profitability of our operations in New Zealand. We are also continuing to have value creation work through the project development assessment of organic opportunities including Didipio optimization, which revolves around the timing of the underground development, the Blackwater project and the new Round Hill Gold/Tungsten project. In addition, we are looking at advancing an exploration fronts in Southeast Asia to introduce exploration success into the business in years to come. So with that, I’ll hand back to Nova. Thank you.
Nova Young: Thanks Mick. At this time, I would like to open up the line for questions. For those that wish to ask questions, we would take them only through the telephone and ask that you dial in. We will now poll for few moments while we wait for callers to queue, and I will turn the call back over to the operator to begin.
Operator: Thank you. (Operator Instructions) One moment for your first question. Our first question comes from Paul Hissey from Goldman Sachs. Please go ahead.
Paul Hissey – Goldman Sachs: Hi guys, two questions from me. Just Mick, can you talk to us a little bit more about sites, just I’m looking at five LTIs for the quarter between Macraes and Reefton. Just seeing sort of high-ish, I don’t know if want to detail a bit more or is there something changed there or just what’s sort of leading to perhaps set upward trend in incidents there?
Mick Wilkes: Thanks Paul. It is a concern to us, but nothing specific has happened which could lead to that. We have had a bad road of site teams in both Reefton and Macraes, and we continue to focus on improving that. I can assure you that it is a major focus of me and the COO and the general managers on site and working with them and following to improve the site across the business. It is a journey, a process. We have had a bad three months in safety in New Zealand and hopefully turned that around pretty quickly. Overall across the business, we had seen improved safety performance on a year-to-date basis or over the 12 month – rolling 12-month basis. So, on a longer term assessment of using projects.
Paul Hissey – Goldman Sachs: Okay. And perhaps one other question for me then just on cash conversion. Obviously it looks like a ripping quarter. Over the last year or so on my numbers you’ve added about $110 million in sort of working capital so one of the better term. So that sort of cash that you’ve generated, but perhaps equity holders can’t quite tangibly see it. Now I understand you’ve got a new asset and clearly there is going to be a buildup of work and capital associated with that, but do you expect that to sort of continue or is this sort of peak inventory levels where we are now, and we’re looking – I mean you’ve alluded to it earlier in the call, but can you just perhaps talk around that a little bit more, please?
Mick Wilkes: Yes, look, the inventory levels will continue to increase a little bit, but we’ve sort of raised the maximum now as in particular we’ve concentrate in receivables, ore inventories will increase over the coming years as part of the mine plan, that is still into strong cash flows. Mark, do you want to make a comment?
Mark Chamberlain: I’d expect the concentrate receivables to taper off and come down, somewhat. It all depends on the target at the end of the quarter, where we are with shipment cycles and movements but also some of that the earlier final payments will be resolved I think pretty quickly over time and that system should bring down those levels. So I’m expecting that to tape it then a little bit, but as you said, all will built up just a little bit more to build up there on the ore stocks.
Paul Hissey – Goldman Sachs: Okay. Thanks. So I guess we’ll just keep an eye on that in the course to come. Thanks.
Operator: Thank you. Our next question comes from Reg Spencer from Canaccord. Please go ahead.
Reg Spencer – Canaccord Genuity: Hi. Good morning, Mick. Congrats on a pretty good quarter. Just a couple of quick questions just following on some Paul’s question on the cash flow. How should we be thinking – and this might be a question for Mark now that I think about. How should we be thinking about the timing differentials on the concentrate selves [ph] going forward? Obviously there is going to be some variation and there is going to be an impact on that cash and working capital. So how should we be thinking about that moving forward?
Mick Wilkes: Well, the contract is three-month [ph] contract. So you get a 90% time once the concentrate is loaded on the ship, and then that’s a provisional payment. And then after three months the FAs [ph] and all the final numbers are finalized and there is a determination on the final payment, which is 10% plus or minus the variation from the prices in the final concentrate growth. So 13% that we haven’t seen coming through the books yet. And then we ended our first concentrate shipment I think was back in April. We have seen the first one I think that is we’re now on out on 11th shipment. So there is a time lag in that. And you’re always going to have that three month working capital impact, but we process three months since we started shipping concentrate now, so it shouldn’t build up any further. Other than that, it’s just a variations and the timing of concentrate shipments. Remember in that, we do on average round about 1.5 shipments a month. So in one quarter, we might do one less or one more than in other quarters. So it is a timing-related thing. A ship carries around about $15 million to $20 million in value, so it’s quite a lumpy profile. So you will see those files in production. So what we do is we record south at the mine gate under the standards and we recall production as what comes out of the plant and we recall [indiscernible] site and the difference between south and cash in concentrate terms is overseen in that three number and what goes on the ship and what’s stockpiled at the port.
Reg Spencer – Canaccord Genuity: All right.
Mick Wilkes: A bit tricky is in selling gold bars.
Reg Spencer – Canaccord Genuity: I appreciate that, no problem, but just on your Southeast Asian exploration initiative. I know that’s sort of in its embryonic stages at this point. So have you guys set a material budget for exploration expense during that part of the world, and maybe given the way in receiving your permits in the Philippines, is this sort of your way of maybe offsetting that, maybe looking at some of these other frontiers, now that’s been something that you’ve talked about numerous times in the past but, yes, have you devoted any significant expenditure to that initiative over the next 12 to 18 months?
Mick Wilkes: Well, we haven’t finalized anything yet Reg, but we are looking to supplement our exploration portfolio in the Philippines, and yes we are frustrated by the lack of projects there, but we have to move on. We have roughly approximately $10 million as we have budgeted for exploration in Southeast Asia, be it in the Philippines or elsewhere, but we may or may not spend all of that depending on the opportunities to realize but it’s very early days for other exploration fronts in Southeast Asia. And it’s something we’re happy to pull it on in future quarters, when we have something more substance to the afford [ph].
Reg Spencer – Canaccord Genuity: Yes, and I probably have just one very quick question, just in relation to the tungsten at Macraes. So you mentioned that, you have a potential to extend the mine life by 10 years, but you’re dropping your production, right. I’m assuming that the offsetting of that would be subject to feasibility studies of course is the credits provided by that tungsten production. The feasibility study, I’m assuming that’s going to look at what additions and what modifications you think process is going to be required costs and what not. Are you in a position of at least provide a little bit more color on that at this point, or are we’d kind of have to wait until next quarter?
Mick Wilkes: I’d prefer to wait and then just tell you that we’re looking across the throughput grade of around 3 million tonne per annum and 80,000 to 100,000 ounces of gold. But it’s very early days. What we need to do in the short-term is to get a bulk resource around the tungsten. We have the resource around the gold of course, which is in higher grade in the area that we’re looking at than the current pit. And with tungsten created, it makes it sort of $2 billion equivalent type of ore body. So once we get some more certainty around that resource, we’ll be able to talk – give you some more data around the numbers.
Reg Spencer – Canaccord Genuity: Okay, fantastic. No problem, thanks guys.
Operator: Thank you. Our next question comes from Andrew Harvey-Green from Forsyth Barr. Please go ahead.
Andrew Harvey-Green – Forsyth Barr: Hi Mick and team there. Congratulations on the great results. A quick question I guess just around the guidance. Your copper guidance that you’ve upgraded for the fourth quarter, you’re implying around about 2,500 to 4,500 tonnes in fourth quarter, but it’s quite a bit lower on the second and third quarter? Is it conservative or is there – I just kept getting into lower grades there?
Mick Wilkes: Well, the mine and the processing is shifting for the higher gold grades and possibly lower copper grades in the fourth quarter, and more consistent with long-term copper production. So we expect the copper production to be pretty steady, so we’re comfortable with those guidance levels of 18,000 to 20,000 tonnes.
Andrew Harvey-Green – Forsyth Barr: And just I guess following on from that and thinking about what the market is doing by ‘14 and beyond. I think in the technical report, you did have, I guess, copper production actually lifting a little bit in year two versus year one, that’s no longer the case, is it how we should be reading it?
Mick Wilkes: I wouldn’t read an extrapolation into the benefit that we’ve received from the copper is mainly a function of the resource. And the additional terms that have been mined in the pit at the top of the ore body, which would prove previously model and that’s simply a function of cropping ore body. So Andrew, I wouldn’t read too much into that and extrapolate it into next year.
Andrew Harvey-Green – Forsyth Barr: All right. And a final question just around, I guess, the silver. What should we expect there going forward? Is there a little bit of a one-off or it’s a little bit more to come going forward?
Mick Wilkes: It’s real. It’s silver in the concentrate, so it does with the copper. And obviously I forgot to mention that it’s in the MD&A. It’s $3.8 million of revenue in the third quarter. So it’s a nice little sweetener [ph].
Andrew Harvey-Green – Forsyth Barr: And so you’d expect that sort of level going forward?
Darren Klinck: Andrew, it’s Darren here. We’re actually doing some additional test work on that over the next few months, just to kind of have a closer look at it in terms of going back and doing some assays. Historically, there wasn’t a lot of emphasis, but on silver with regards to the ore body. So it’s a positive surprise. But yes, I think that this term is probably a little bit too early to be assuming say certain numbers. We’ve obviously had a bit of a diamond in the rock here this quarter and we’ll take it. But we are allocating some kind of resources to that. So I suspect in the next quarterly call, we’ll be able to give a better sense as to what we would expect in the upcoming quarters and years with regards to silver in the project.
Andrew Harvey-Green – Forsyth Barr: Okay. Thanks for that.
Operator: Thank you. Our next question comes from Edward White from Inside Resources. Please go ahead.
Edward White – Inside Resources: Hi there, just a couple of quick questions. Mick, can you provide a little bit more information about the gallant prospects near Blackwater, particularly just in terms of whether the things like particularly high grade results, initially you were so interested in how that ranks against other nearby prospects that you’re looking at in Blackwater, and what the company assumes for plan around that Blackwater exploration [indiscernible]?
Mick Wilkes: Yes, thank you. Edward, sorry. The exploration program at Reefton is continuing. We’ve been doing some drilling just south of the Globe-Progress pit, and a prospect called Scotia/Gallant. It’s about a kilometer south of the [indiscernible]. It’s an net cropping expression as a reef structure at this stage, 300 or 400 meters to drill the few holes into the reef. It is [indiscernible] high grade. We’re not climbing victory yet, but it is got potential to for being an ore body. Darren, do you want to say anything then?
Darren Klinck: Yes, I think we’ve got only about four holes into it, so it’s very early but it is a target that as mentioned in [indiscernible]. It’s really on assays and I suspect the next quarter will have further detail in that. It’s a work in progress I guess I should say.
Mick Wilkes: Just a comment. Again I think I dealt with some sulphides surrounding.
Edward White – Inside Resources: Okay, thank you. And just over to sort of the cost side of the business. You’ve mentioned obviously some work there that’s come off in the last quarter. Just interested to know whether there is a view there as to how much more can be done on that side and particularly in relation to the New Zealand operations?
Mick Wilkes: Well, it’s a constant work in progress. We have had some wins with lower power costs, wage freezes across the business. We had made some redundancies in New Zealand and that reviews will continue with each any budget in full cost. So it’s something we’re quite used to. It is revealing our cost base in New Zealand, and we’ll continue to do so.
Edward White – Inside Resources: Okay, thank you.
Operator: Thank you. Our next question comes from Daniel Seeney from Citigroup. Please go ahead.
Daniel Seeney – Citigroup: Yes, good morning guys. I just wanted to ask quickly on the strategic agenda, particularly in the like of the El Salvador acquisition. Just wanting to get some clarity around whether that acquisition really plugs the M&A agenda near-term or is that just more of an incremental add-on, or is that the acquisition that’s meant to fuel growth over the medium-term? Thanks.
Mick Wilkes: Yes, thanks Daniel. So, the El Salvador acquisition is a long-term play. That’s not a project that’s ready to build. There is work to do on the ground there with community and government. There is a very robust resource on it, yes. So it will take time to establish a platform from which we can go forward. So it really is an exploration for the business that will add to our spotlight [ph].
Daniel Seeney – Citigroup: Okay, thanks. So presumably that means that further M&A remains on the agenda?
Mick Wilkes: Well, we’ll continue to look at opportunities in the market as you’d be aware there is quite a bit of gold to sales and one of the better term at the moment and we’re just actively looking at lines to add value for our shareholders accretively.
Daniel Seeney – Citigroup: Got it. Thanks very much.
Operator: Thank you. (Operator Instructions) Ms. Young, there are no further questions at this time. Please proceed.
Nova Young: Okay, thank you. And that concludes today’s presentation. On behalf of the rest of the team at OceanaGold, I’d like to thank you for your participation. And should you have any further queries, please contact us directly. Bye for now.
Operator: Ladies and gentlemen, this concludes today’s conference call. We thank you for participating and ask that you please disconnect your lines.